Operator: Ladies and gentlemen, thank you for standing by. Welcome to The TJX Companies Fourth Quarter Fiscal 2024 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded as of today, February 28, 2024. I would now like to turn the conference call over to Mr. Ernie Herrman, Chief Executive Officer and President of The TJX Companies, Inc. Please go ahead, sir.
Ernie Herrman: Thanks, Ivy. Before we begin, Deb has some opening comments.
Deb McConnell: Thank you, Ernie, and good morning. Today's call is being recorded and includes forward-looking statements about our results and plans. These statements are subject to risks and uncertainties that could cause the actual results to vary materially from these statements including, among others, the factors identified in our filings with the SEC. Please review our press release for a cautionary statement regarding forward-looking statements as well as the full safe harbor statements included in the Investors section of our website, tjx.com. We have also detailed the impact of foreign exchange on our consolidated results and our international divisions in today's press release and in the Investors section of tjx.com, along with reconciliations to non-GAAP measures we discuss. Thank you, and now I'll turn it back over to Ernie.
Ernie Herrman: Good morning. Joining me and Deb on the call is John. I want to start today by recognizing all of our global associates for their excellent work in 2023. I truly appreciate their continued commitment to TJX and their focus on our customers. I especially want to thank our store, distribution and fulfillment center associates for their hard work and dedication to our company every day. Now to an overview of our results beginning with the fourth quarter. I am extremely pleased with our very strong finish to 2023. Our fourth quarter sales profitability and earnings per share all exceeded our expectations. Overall comp sales were up a strong 5% and were entirely driven by growth in customer transactions. This is great to see as it underscores our ability to continue gaining market share in all of our geographies. I am particularly pleased that our U.S. businesses, Marmaxx and HomeGoods, continued their very strong sales momentum. Also, it was great to see comp sales growth accelerate versus the third quarter at our Canadian and international divisions. We are confident that our exciting assortments and excellent values resonated with shoppers across all of our retail banners this holiday season. We believe our gift-giving selections offer customers something for everyone on their list, and we see being a gift-giving destination as a year-round opportunity for our business. For the full year, overall sales surpassed $50 billion, marking a milestone for our company. Even more exciting, we still see plenty of opportunities to continue our growth in our markets around the world. For the full year, consolidated comp sales increased 5%. Profitability increased significantly and earnings per share grew double digits, all well above our initial guidance for the year. Importantly, we saw comp sales growth across each of our divisions, again, all driven by increases in customer transactions. We are confident that we gain market share in every geography that we operate in. Our outstanding performance in 2023 is a testament to the sharp execution of our talented associates around the world and their relentless focus on delivering excellent value to our customers every day. Looking ahead, the first quarter is off to a good start. In 2024, we have many initiatives planned that we believe will keep driving sales and to attract more shoppers to our stores. Availability of quality branded merchandise in the marketplace continues to be outstanding. We are in a terrific position to continue flowing a fresh assortment of goods to our stores and online this spring and throughout the year. Longer term, we see many opportunities to capture additional market share across our geographies, and we are laser focused on increasing the profitability of TJX. We are convinced that our flexibility and commitment to value will continue to be a winning retail formula for many years to come. Before I continue, I'll turn the call over to John to cover our fourth quarter and full year financial results in more detail.
John Klinger: Thanks, Ernie. I also want to add my gratitude to all of our global associates for their continued hard work. Now I'll share some additional details on the fourth quarter. As I recap the fourth quarter results, I'm going to speak to everything on a 13-week basis, which excludes the extra week in the quarter. Reconciliations detailing the impact of the extra week on our results and other adjustments can be found in today's press release and on the Investors section of our website. Adjusted net sales grew to $15.5 billion, a 7% increase versus last year. As Ernie mentioned, consolidated comp store sales increased 5%, above the high end of our plan and were entirely driven by an increase in customer transactions. A quick note that on prior calls, we have referred to customer transactions as customer traffic. But for the sake of clarity, we'll use the term customer transactions going forward. Back to the results. In the fourth quarter, our consolidated comp sales increased in both our apparel and home businesses. In terms of divisional sales performance for the fourth quarter, we were pleased to see strong comp sales increases at every division, all driven entirely by customer transactions. At Marmaxx, I also note that we saw comp increases in both our apparel and home categories. Fourth quarter adjusted pretax profit margin of 10.9% was up 170 basis points versus last year. Our adjusted pretax profit margin came in well above our plan primarily due to a higher merchandise margin. This includes a larger-than-expected benefit from shrink and freight, lower markdowns and better mark on. We also saw some expense leverage on our above-plan sales. Adjusted gross margin for the fourth quarter was up 340 basis points versus last year. This was driven by a higher merchandise margin, including a significant benefit from lower freight costs and shrink strong mark-on and lower markdowns. Fourth quarter adjusted SG&A increased 190 basis points versus last year, primarily due to higher incentive accruals and incremental store wage and payroll costs. Adjusted net interest income benefited fourth quarter adjusted pretax profit margin by 10 basis points versus last year. Lastly, we were very pleased that adjusted diluted earnings per share of $1.12 were well above our expectations and up 26% versus last year. Now to our fiscal '24 results. Once again, for the full -- for our full year financial results, I'm going to speak to everything on a 52-week basis, which excludes the extra week in the fiscal year. Adjusted net sales grew to $53.3 billion, a 7% increase versus last year. Full year consolidated comp store sales were up 5%, entirely driven by customer transactions. We were very pleased to see mid-single-digit comp sales increases in both our apparel and home businesses. Adjusted pretax profit margin of 10.9% was up 120 basis points versus last year's adjusted 9.7%. Adjusted gross margin for the full year was 29.9%, up 230 basis points versus last year's 27.6%, primarily driven by a significant benefit from lower freight costs as well as strong mark-on and 10 basis points of shrink favorability. Shrink was an area that we were laser focused on as an organization all year long. I want to recognize and thank all the associates who worked extremely hard on our initiatives throughout the year. Importantly, we managed our in-store initiatives while delivering a very strong top line and providing a pleasant shopping experience for our customers. We remain focused on shrink and continue to look for ways to improve this area going forward. Full year adjusted SG&A was 19.3%, up 140 basis points versus last year's 17.9%. This was primarily due to incremental store wage and payroll costs and higher incentive accruals. Adjusted net interest income benefited full year adjusted pretax profit margin by 30 basis points versus last year. Lastly, full year adjusted earnings per share were $3.76, up 21% versus last year's adjusted $3.11. Moving to inventory. Balance sheet inventory was up 3% versus fiscal '23. We are happy with our inventory levels and the plentiful availability we see in the marketplace. We are well positioned to flow fresh assortments to our stores and online this spring. I'll finish with our liquidity and shareholder distributions. For the full 53-week year, we generated $6.1 billion in operating cash flow and ended the year with $5.6 billion in cash. In fiscal '24, we returned $4 billion to shareholders through our buyback and dividend programs. Now, I'll turn it back to Ernie.
Ernie Herrman: Thanks, John. I'll pick it up with some full year divisional highlights. As we saw with our strong fourth quarter sales, every division delivered comp increases for the full year, with customer transactions driving the increases across the businesses. Again, we believe this is a strong indicator of our ability to continue gaining market share and it underscores our wide customer demographic. Beginning with Marmaxx. Overall sales well exceeded $30 billion. Comp store sales increased a very strong 6%. We also surpassed 2,500 total T.J. Maxx and Marshalls stores. Marmaxx's apparel and home categories, both comp up for the year. Further, we saw consistently strong comp sales increases across regions and income demographics. As to Marmaxx's profitability, we were extremely pleased to see full year adjusted segment profit margin improved significantly to 13.7%. As we look ahead, we are very excited about the opportunities to see -- that we see to grow our customer base, drive sales, open new stores and increase the profitability of our largest division. At Sierra, which is reported with Marmaxx, we were pleased with the continued sales growth. At our online businesses, we added new categories and brands throughout the year to deliver the same freshness and excitement online as we do in our stores. At HomeGoods, annual sales grew to nearly $9 billion and comps grew 3%. It was great to see the home business return to positive comp sales trends. We are particularly pleased with the acceleration we saw in the second half of the year, with comp sales increasing high single digits. Similar to Marmaxx, we saw consistent performance across regions and income demographics. HomeGoods adjusted profitability also improved significantly to 9.4% and getting closer to our goal of returning this division to a double-digit profit margin. During the year, we opened a combined 34 HomeGoods and HomeSense stores. Long term, we see exciting potential to bring our eclectic mix of home fashions to even more consumers across the United States. Moving to TJX Canada. Full year sales were $5 billion and comp store sales increased 3%. Adjusted segment profit margin on a constant currency basis was 14%. With more than 550 stores across Canada, we are one of the largest apparel and home retailers in the country. We are a top destination for consumers seeking branded merchandise at amazing value. We continue to see opportunities to expand our footprint across Canada and attract new shoppers to all 3 of our banners. At TJX International. Full year sales approached $7 billion and comp store sales were up 3%. Adjusted segment profit margin on a constant currency basis was 4.6%. As a reminder, in the second quarter, this division's profitability was significantly impacted by a reserve related to a German government COVID receivable. In Europe, we believe our sales growth outperformed many other major brick-and-mortar apparel retailers in a difficult economy. Australia delivered very strong sales growth, and we continue to open stores in new markets. Going forward, we are confident that we can grow our retail banners in each country that we operate in and are highly focused on improving this division's profitability. Going forward, I am confident that we are well positioned to continue our growth around the world and in many kinds of economic and retail environments. Let me briefly remind you of the key characteristics of our business that we believe are tremendous advantage. First is our relentless focus on offering our shoppers great value on every item every day. For us, value means delivering consumers the right combination of brand, fashion, price and quality as always. Second is the flexibility of our business model that allows us to shift our buying, distribution and store mix to quickly react to the hottest trends in the marketplace and changing consumer preferences. Further, the globalness of our business allows us to create a differentiated treasure hunt shopping experience in every country that we operate in. Third, we successfully operate stores across a wide customer demographic. Our ability to offer a differentiated mix of good, better and best merchandise at each of our stores allows us to appeal to value-conscious shoppers across a broad range of income demographics. Further, each of our divisions continue to affect an outsized number of younger customers to its stores, attract an outsized number of younger customers to our stores, which we believe bodes well for the future. Next, we are extremely confident that there is more than enough inventory available in the marketplace to support our growth plans. In 2023, our more than 1,300 buyers source goods from a universe of more than 21,000 vendors, including thousands of new ones. As we continue to grow our top line, we believe we become even more appealing to vendors as we offer them an attractive way to grow their business. Fifth, we continue to see opportunities for store growth around the world. We believe we can grow our global store base by at least another 1,300-plus stores over the long term with just our existing banners in our current countries. Last, but certainly not least, is our exceptional talent and strong culture. I truly believe the depth of off-price knowledge and expertise and the longevity of our talent within TJX is unmatched. We continue to invest in teaching and training our associates to develop the next generation of leaders within our company. Finally, I am so proud of our culture, which I believe is a major differentiator and another key component of our success. Turning to corporate responsibility. Our teams across the company did great work on our initiatives in each of our 4 pillars: workplace, communities, environment and responsible business. Our 2023 global corporate responsibility report summarizes our efforts and progress within this work, as I shared last quarter. Our value mission extends to our corporate responsibility efforts, including supporting our associates, giving back in our communities, helping mitigate our impact on the environment and operating our business ethically. I'm pleased to share that in fiscal 2024, we supported more than 2,000 nonprofit organizations globally through our TJX foundations including nonprofit partners in all 50 states within the United States. Through our grant funding and in partnership with our generous customers, we provided more than 30 million meals through our nonprofit partners that people experiencing food and security. And our associates across the globe continue to be engaged in this work, running give a dollar campaigns in our stores, participating in our associate nominated grants program, helping to build homes for those in need, serving his career coaches for students and more. These are just some examples of work our teams are doing in our communities, and we invite you to visit tjx.com to learn more. Summing up, we are very proud of our team's performance in 2023 and are in a great position as we enter 2024. We are confident in our plans this year, and as always, we'll strive to beat them. We remain committed to investing in our business to support our future growth. Longer term, we believe that the combination of our key strengths and history of strong execution sets us up extremely well to continue our successful growth around the world. I am convinced that plenty of opportunities remain to drive sales increased profitability and capture additional market share going forward. Now, I'll turn the call back to John to cover our full year and first quarter guidance. And then we'll open it up for questions.
John Klinger: Thanks again, Ernie. Now to our fiscal '25 guidance beginning with the full year. We are planning overall comp store sales growth to be up 2% to 3% in fiscal '25 over a 5% comp increase in fiscal '24. For the full year, we expect consolidated sales to be in the range of $55.6 million to $56.1 billion. We're planning full year pretax profit margin to be in the range of 10.9% to 11%. This would be flat to up 10 basis points versus fiscal '24 adjusted pretax profit margin of 10.9%. Moving to full year gross margin. We expect it to be in the range of 30% to 30.1%, a 10 to 20 basis point increase versus fiscal '24 as adjusted gross margin of 29.9%. We expect this increase to be driven by a higher merchandise margin partially offset by our supply chain investments. We're planning for both freight and shrink to be flat versus fiscal '24. For full year SG&A, we're expecting it to be approximately 19.3% and flat to last year's adjusted SG&A. We're planning incremental store wage and payroll costs to be offset by lower incentive compensation costs and a benefit from items that negatively impacted us last year. We're planning full year net interest income of about $118 million, which would delever fiscal '25 pretax profit by about 10 basis points. For modeling purposes, we're currently assuming a full year tax rate of 26.0% and a weighted average share count of approximately 1.14 billion shares. As a result of these assumptions, we're -- we expect full year earnings per share to be in the range of $3.94 to $4.02. This would represent an increase of 5% to 7% versus last year's adjusted earnings per share of $3.76. Moving to our first quarter guidance. We are planning overall comp store sales growth to be up 2% to 3%. We expect first quarter consolidated sales to be in the range of $12.4 billion to $12.5 billion. We're planning first quarter pretax profit margin to be in the range of 10.5% to 10.6%, an increase of 20 to 30 basis points versus last year. Next, we expect first quarter gross margin to be approximately 29.8%. This would be an increase of 90 basis points versus last year's -- last year primarily due to a higher merchandise margin which includes the annualization of lower freight costs from last year and favorable mark-on, partially offset by supply chain investments. We're expecting first quarter SG&A to be approximately 19.5%, up 50 basis points versus last year. We expect this increase to be primarily driven by incremental store wage and payroll costs. For modeling purposes, we're currently assuming a first quarter tax rate of 25.8%, net interest income of about $37 million and a weighted average share count of approximately 1.14 billion shares. As a result of these assumptions, we expect for our first quarter earnings to be -- earnings per share to be in the range of $0.84 to $0.86, up 11% to 13% versus last year's $0.76. Moving on to our fiscal '25 capital plans. We expect capital expenditures to be in the range of $2 billion to $2.1 billion. This includes opening new stores, remodels and relocations as well as investments in our distribution network and infrastructure to support our growth. For new stores, we plan to add about 141 net new stores, which would bring our year-end total to almost 5,100 stores. This would represent a store growth of about 3%. In the U.S., our plans call for us to add about 45 net new stores in Marmaxx and 40 stores at HomeGoods, including 17 HomeSense stores. At Sierra, we plan to add 26 stores. In Canada, we plan to add 10 stores. And at TJX International, we plan to add 15 net stores, in Europe and 5 net stores in Australia. Lastly, we also plan to remodel about 480 stores and relocate approximately 40 stores in fiscal '25. As to our fiscal '25 cash distribution plans, we remain committed to returning cash to our shareholders. As we outlined in today's press release, we expect our Board of Directors will increase our quarterly dividend by 13% to $0.375 per share. Additionally, in fiscal '25, we currently expect to buy back $2 billion to $2.5 billion of TJX stock. Looking beyond FY '25, we continue to believe that on a 3 to 4 comp increase, our pretax profit margin can be flat to up 10 basis points. As I've said before, this assumes no outsized expense headwinds. Also, our plans do not contemplate assumptions for macro factors such as geopolitical events, foreign exchange volatility or consumer behavior. In closing, I want to emphasize that we are laser-focused on growing our top line, increasing profitability and will strive to exceed our plans. We are in an excellent position, both operationally and financially to take advantage of the opportunities we see to further grow our business while simultaneously returning significant cash to our shareholders. Now, we are happy to take your questions. As we do every quarter, we're going to ask that you please limit your questions to 1 per person so we can keep the call on schedule and answer as many questions as we can. Thanks, and now we'll open up for questions.
Operator: [Operator Instructions] Our first question comes from the line of Paul Lejuez from Citigroup.
Paul Lejuez: You've got your margin guidance overall for the year, but I'm curious how you're thinking about profit margins at each of the segments this year? Where do you have the most opportunity? And what is assumed in your guidance, which segments are up, which are down? And then, Ernie, just having quick comments on the Macy's news yesterday, how you're thinking about the store closure opportunity, what that might mean for you guys?
John Klinger: Yes. Paul, to start off, on this call, we're not going to get into the detail by division, just to say that we're very confident in the plans we have to execute them, and we're pleased to be increasing 10 basis points on a 2% to 3% comp.
Ernie Herrman: Yes. Yes. Paul, on the interesting, the Macy's store closure. This is a little similar to some of the other closures we've talked about over the last few years. Obviously, with the Macy's store closures, you do have a lot of overlap in categories that marry up, which marry up to the businesses that we run. So we would think that would be an additional, and it's probably what you're getting at. I'm guessing an additional market share opportunity depending on the categories and the locations they're in. So not that we would -- not that we would get all of that, but we would get some of it is what we always figure. And again, we've looked at that with any of the other stores over the last 18, 24 months that have closed, and we look at it similarly. I also think where our teams, I like to give is -- I like to give our planning and allocation organization, a lot of credit because they look for trends and our system is sophisticated enough to look for the trends in nearby store closures and how they affect our store in a HomeGoods or a Marmaxx store, and then we're able to watch that trend and ship back and capitalize on the market share opportunity. One indirect byproduct and I know you're not asking this, but I would like to mention to everyone on the call, one of the things that's happening with all the store closures is the importance to the vendor community keeps rising for our merchants amidst less brick-and-mortar competition, so to speak. So one of the -- that hasn't been a question yet because we're not there in the order. But merchandise margin opportunities, I think one of the benefits as we look forward is the importance that our buyers have to the vendor community. And that is one of the things that probably will continue to allow us to buy a little bit better on an ongoing basis. So it's indirectly related to the store closure question. I thought I'd point that out.
Operator: Next, we'll go to the line of Brooke Roach from Goldman Sachs.
Brooke Roach: Ernie, you talked a little bit about this already about the opportunity for better buying which could help merch margin. But I was hoping you could contextualize the drivers of merch margin expansion that you're forecasting this year as well as the drivers of expansion that you see on a multiyear basis, is this year a function of mark on markdown or further price increases, where do you see the most opportunity?
Ernie Herrman: Yes. Great, question, Brooke. And John, are you going to...
John Klinger: Yes. I mean we see a combination of both mark-on and markdown favorability in FY '25. So we're quite pleased to see that.
Ernie Herrman: I would tell you, Brooke, getting even a little more specific for your question is where the mark on, I think, comes which is still your, I guess, most important component here because we can kind of control that is it's a combination. What I just started to touch on with Paul's question on the buying better. Also linked with that, I didn't get to mention is clearly availability, which I did mention in the script, is outstanding across the board, as always, it varies by category and vendor. But at the end of the day, there's more goods out there than we can handle, and we're still holding our merchants back. What I like that happened, and it's been -- this is a new thing. It's been happening over a number of years now is the importance that our buyers are to the vendor community. And the way they handle the vendors in a very courteous manner, but straightforward is allowing them to continue to buy better season after season. And I think as we continue to gain market share and the vendors see that they're just being placed in our store and an eclectic mix with even more and more better brands has been an incentive for them to continue to want to work with our buyers even more so than in the past. And obviously, this has been evolving over a number of years now. So we feel good about the mark on from the buying better perspective. And then I think you touched on this on the retailing of the goods, we still feel there's opportunity. Again, we've just started over the last few years on as we used to call it, selectively adjusting retails where it was appropriate, and we still think there's a lot of opportunity there. Our perception on value is at a very high level across all of our brands. And as you can see from our sales momentum, the customers are responding extremely well to the values that we have in the store. So I would tell you on the -- John mentioned the markdowns, so that's one thing. I think the mark on opportunities still exist because of both buying better and retailing goods. And I think, again, continues to be midterm and longer-term opportunity. I hope that answers that.
Operator: Next, we'll go to the line of Matthew Boss from JPMorgan.
Matthew Boss: And congrats on another great quarter. So Ernie, with holiday comps driven by transactions, could you elaborate on new customer acquisition and market share opportunity that you see. And just how do you think your apparel and home assortments are positioned in the spring, given the good start that you cited? And then maybe, John, on the margin side, just a follow-up. I mean, with margins now exceeding pre-pandemic is there any change to the historical margin flow-through on incremental of plan sales? It sounds like Ernie walked through a number of drivers, but just thinking about incremental sales and flow through in the model?
Ernie Herrman: Yes, Matt, great question. Well, first, let's deal with the first one, which is the new customer acquisition. We've been very happy. We are skewing -- we continue to skew with new customers, we continue to skew a little younger, which is what we wanted. It bodes well for the future. I think I also mentioned that in the script. One other focus, though, and I think we had this recently hit the meeting up what we talked about is we also are trying to acquire new customers, but we're trying to, in our market and create additional visits out of our existing customers because that is still a huge driver of market share is if we could get one additional visit out of only 10% of our customers, that is a monster. So yes, we are obviously looking for new customers and happy that they're skewing younger and where -- we've been happy with the acquisition of new customers. But just we equally. We are -- we have challenged the organization to try to increase visits. And our marketing team, we just had a bunch -- and I'm thrilled with what our marketing team has done on their creative for this coming year. We have some great creative and great messaging plans across each brand. I recently had marketing meetings for a couple of weeks with every division, and we love the messaging where we're going out. And in some cases, appealing to what you just mentioned, new customers, some of our messages are really geared at educating a customer what our price is in the messaging so that we can try to get those new customers. One other thing I'd like to point out on this, that's really encouraging. We always talk about how we trade broadly. And in the call here, we've talked about different income demographics. A really neat thing, I think, for everyone to remember is we are very balanced actually relative to the population of the United States we are balanced on age and income demographics in a very appropriate manner. We're not -- as some retailers can skew towards different categories, we actually are at the point now where we over-index in the age 18 to 34. So we're slightly over the population average with those shopping our stores, which I think bodes really well for the future. And then on income demographics, we're very balanced by category under $50,000, $50,000 to $99,000 over $100. We skew a little bit more to the -- over the $50,000 and above that. So great question. Obviously, we spent a lot of time on it. So the second part...
John Klinger: Yes. I would just say on the income demographic, when you look at our sales performance in the fourth quarter was very consistent across our income demographic bands that we look at, particularly in the U.S. divisions. But yes, as far as the sales incremental flow through, I would say that we -- it's very consistent with what we've been saying all along. We see our lever point somewhere between the 3% to 4% comp, as we said in the script. And I don't think anything has changed on that.
Ernie Herrman: And Matt, what was the last part of your question? Was that about our go forward? Was it about the home business?
Matthew Boss: Yes, just opportunities. You mentioned spring off to a good start. Just any elaborating on your assortments in apparel and home into the spring.
Ernie Herrman: Their apparel at home, you had said right. So yes. I have to tell you, though, we did not -- we were not -- at the beginning of February, we were getting here with the weather that I think many of you know across the country. So we -- that was holding back our comps a little in the first couple of weeks of February even though we were -- it's in our guidance range. And then over the last -- really the last couple of weeks, our business got stronger when the weather was more normalized. From week 3 on, we were we were much happier with our comps. So that's why we're off to a good start. And by the way, I would say that we when -- the weather is like that, it can affect your apparel, but we were still pretty pleased with where we were trending given the weather. And our home business, I would tell you, again, I don't want to take up too much more time on this section, but our home business as you could tell from Q4. And as we go into spring and this year, as I mentioned in the script, we just feel just a massive opportunity in market share because our home business, we do it so differently than really anybody else. We don't have competition the same way, whether it's all the fashion aspects of what we do in our home, some of the categories that are more replenishment, where we increasing our steady traffic in home goods because we have items that customers replenish. And then you have utilitarian items that we sell. So HomeGoods is such an eclectic treasure hunt that it's really a special place in terms of impulse buying and I think just a huge market share opportunity there. And we're positioned -- I love the way that team is positioned. And that isn't just -- I'm not talking just about HomeGoods. I'm talking about the home area in Marmaxx has been really strong home area over in T.K. Maxx and in winners, Marshalls in Canada, all the full family stores have been running a strong home business, and it's also continuing that way as we enter spring. .
John Klinger: Yes. And Matt, let me just add on to what I was talking about as far as the incremental sales flow-through. So as we said in the past, it's for every point in comp, 15 basis points. And again, unchanged from what we've been saying.
Operator: Next, we'll go to the line of Lorraine Hutchinson from Bank of America.
Lorraine Hutchinson: Ernie, I was hoping to get your outlook for pricing for this year. Do you still see an opportunity for like-for-like price increases throughout the assortment? And then also, how will mix factor into your outlook for total AUR in fiscal '25?
Ernie Herrman: Sure. No, both on point there, Lorraine. Yes. No, we feel there's still opportunity on the like-for-like pricing. As we look -- we comp shop so regularly, our buyers are so good at that. And we can see specific items here and there where we could be going up a price point. Again, it's -- you would never notice it because we're not -- we're doing it so sparingly throughout the assortment. It isn't -- it isn't a widespread thing, but there's enough that there's opportunity to be doing it surgically in different places throughout the store. We can just see because other retailers have had to go up, and they aren't coming down even though inflation has moderated. So much cost, John and I talk about all the time cost is embedded in all of the businesses out there. So I think that, Lorraine, is going to still continue for a while. This isn't just a season or this year thing. Yes. And then the -- I'm sorry, the second part was the mix is real. With the mix related? Yes. So the mix is always -- we are always going after the hottest trending mix. I don't -- in our plans right now on our AUR, we don't see the AUR changing that much. We've been kind of going after some of the hotter categories and taking down some of the ones that aren't. And as you know, you know us well. We move very fast to the trends. So we still see some of those categories that were looking good that we were trying to maximize last year continuing this year. And in our plans right now, we're looking at the AURs is not changing that much, actually. We can always go. We don't top -- that's one -- as we talk about this all the time, we do not top-down manage that. But for what we see, our visibility right now looks like they won't change much.
Operator: Next, we'll go to the line of Jay Sole from UBS.
Jay Sole: I'd like to ask about maybe some of the smaller banners. Just on HomeSense, there's a lot of talk in the market that some home categories broadly across the U.S. aren't doing that well. But I've said a couple of times, Home is doing really well. Can you just talk about HomeSense? How that's doing, what your store opening plans for next year are? And also just because you mentioned on the script, this Sierra Trading Post, do you plan to open more Sierra Trading Post? And can you give us a little bit more color on what you're seeing in that banner?
Ernie Herrman: Definitely. So John is looking at the stores. One thing I'll go -- I'm going to tell you one thing on the HomeSense mix. We make adjustments just -- it's interesting. Just similar to what I was just saying to Lorraine, we will go with where the customer is voting. Again, our model allows us to do this, and our teams are experienced. So we are in the process and actually they started in the fourth quarter. The HomeSense team has started modifying the mix to go to what's more happening than some of the other categories that have not been -- that are big in HomeSense but that haven't been trending as strongly, and we started shifting and shoring up our HomeSense trend now has picked up dramatically since we made those adjustments. So -- by the way, in our Sierra sales trend all last year was strong, and we've been thrilled with where we're heading there, which is why in both of these situations where pretty aggressive on store comp.
John Klinger: Yes. I mean we're really pleased with what we're seeing in our -- we'll call them their seed businesses that we're adding 17 HomeSense stores. We're adding 26 stores in Sierra. And we're also very pleased with what we're seeing in Australia as well, where we're adding five stores down there. So we're really quite pleased with what we're seeing with the performance of these businesses.
Ernie Herrman: I will add that Jay, because we don't get to talk about the small businesses often, so that's good.
Operator: Next, we'll go to the line of John Kernan from TD Cowen.
John Kernan: John, you talked about unit growth within the guidance in fiscal '25. And just within the context of your long-term store targets and also some of the trends within new store productivity as you open new Marmaxx and HomeGoods stores. How should we think about real estate availability also the long-term outlook for stores?
John Klinger: Yes. I mean -- so right now, the what we see in total is unchanged. It's just almost just under 6,300 stores we see as the potential. And as far as store availability, we play -- we want to make sure that the stores that we're opening across all our banners are the right stores for what we -- for us. So we're not necessarily going to pick a number and then shoot for that number. We make sure that the stores we're looking at fit right within our store mix. And we're quite pleased with the performance when they do open. So when we see these store openings performance, we're quite pleased with that as well. The other thing that gives us that really works well with us are the relocations that we do. So this year, we're planning 40 relocations. And here, we're actually finding better locations in the store trading areas that we're in for stores that are coming due as far as leases. So we're able to relocate those stores to the better shopping pitch in the area. So we see a definite improvement in the performance as we do move those stores. In Europe, we see more opportunity in Germany to open up stores in the U.K. for more of our relocations. And in the U.S. and Canada, we're also -- as we see more department stores close we see the opportunity to -- if we don't have stores in those areas to put stores in some of those areas to be the department stores of that. So we're seeing opportunities there for new store growth. So that's kind of what we're seeing for the strategy.
John Kernan: Understood. I guess 1 quick follow-up would be just on other categories outside of apparel, home, you spoke about quite a bit on the prior question. Just what about beauty. It feels like it's much more elevated in-store than has been in the past. What's the opportunity within beauty and the elevation of that category?
Ernie Herrman: Yes, I'll jump in here, John. Yes, the beauty business is obviously, you can see from the presentation in the store that's been very healthy for us. And I would tell you, we see big upside there, obviously. And we're continuing to go after that. We have done something with the presentation, but you've seen the assortments expand as well. So as you can imagine, that's one of the businesses we feel has a lot more upside. If you look at things that go along with that health and wellness and beauty thing, some of those other categories in the store, obviously kind of go along with that, if you know what I mean. So beauty is the more noticeable one you're calling out, but that trend kind of spills over, I would say, to some other categories in the store that we're going after. And I think we've talked about this before. We don't just do it we love that our stores are very flexible. So you're bringing out beauty. One thing you probably noticed is the way we've done the beauty thing we still can flex the departments around it. And so that is an advantage. Again, as always, I'd like to point that out, when our buyers are able to -- in our planning organization, we're able to go after the HUD business and flex it in the store very quickly, and it doesn't take as much labor or capital to redo the stores because there aren't any walls, et cetera. So great question now.
Operator: Next, we'll go to the line of Alex Straton from Morgan Stanley.
Alex Straton: Perfect. I wanted to focus on the HomeGoods real quick here. So ended the year at just under a 10% margin. I was wondering if you could speak to kind of what's constraining that business below your long-term goal of low double digits and when you think it gets there. And then secondly, just on the ability to take market share over time. Just wondering if there's any color you could provide on particular categories or changes in the market landscape that are going to enable that going forward. Are Yes. So I mean I'll start off.
Ernie Herrman: Yes. So with Home Goods, I mean it's a couple of things. I mean HomeGoods was impacted by freight more than some of the other divisions. But for HomeGoods, it's about continuing to drive that top line sales growth, while well, looking at the cost structure of that freight and continuing to try to be as efficient as possible on that freight line. The HomeGoods team executes very, very well, and it's just about continuing to focus on execution, drive that top line and be as efficient as we can.
John Klinger: And Alex, if you look when you're asking about one of the things that's going to also help with the margin is the market share and sales growth opportunity that we strongly believe that we have there. If you look at -- if you look at the year that we had there in HomeGoods, dramatic first half to second half. And then even as you went to Q4, you could see how powerful the HomeGoods sales trend is relative to competition. And so it's an unusual thing when the whole business years ago, we've had really strong home goods and home trends for years. Typically, yes, we'd be outpacing competition, but not as dramatically as recently. And so that just shows you that the market share, which is, I think, like a third part of your question, the market share is really up for grabs. And fortunately, what's going on, I think, in the landscape is you have the e-com players on home as well as the brick-and-mortar are creating additional opportunity for our home business because of their execution and the lack of excitement. We do believe -- like our Marmaxx, we believe HomeGoods is one of the most exciting store shopping experiences on the planet, really. And you've seen whether you look on TikTok or any of the -- with third-party endorsements that come out on different talk shows and had segments on home goods lately. It's become a it's become a bit of a cult because people know that you can't go in there and spend less than a couple of hundred dollars, even though you're planning on doing it just for a bed pillow. So it's -- that's why we're so bullish. We also corporately, it's one of our most collaborative arenas. Our home merchants are so linked up across all the organizations, which is why we're bullish on total TJX Home business which, as you know, we've talked in the past, over 1/3 of our business will be home business in TJX this year, heading to a higher percentage over the next few years, that's what we believe. So you're touching on it, what I think is a competitive advantage and future continuing to be traffic driver for TJX.
Operator: Next, we'll go to the line of Michael Binetti from Evercore ISI.
Michael Binetti : Congrats on a great quarter. I just want to ask a little bit on the margins. I know you've talked about it a little bit today, but it's remarkable to see the profitability you guys are putting up, particularly when competitors are looking at stores and saying, look, the economics are going the other way, and we're going to close a few stores. So as we think about Marmaxx, that was a 14% to 15% margin business at its peak with labor and supply chain stabilizing a bit now and you have you have this pricing lever that you didn't really have or flex before COVID or are there any reasons why Marmaxx is in a structurally higher business in the long term, given it's now above 2019 levels? And then I guess as a follow-up, John, you did mention earlier that the long-term 3% to 4% same-store sales growth is flat to 10% -- or sorry, flat to 10 basis point leverage algo. But this year is flat to 10 basis points on a 2% to 3% comp something is a little better this year and then it normalizes next year. And if we get out to the middle of the year and you're running above the 2% to 3% again any reason it wouldn't flow through at a better rate on a point of comp than the 15 basis points that you mentioned?
Ernie Herrman: Yes. I mean -- so I'll pick up the last part of your question first. Yes, we had some onetime headwind. So whether it's the incentive accruals or homegoods.com that negatively impacted us last year that helped us to offset what we see as continued wage pressure. So we were able to be at flat to up 10% on a 2% to 3% versus a 3% to 4%. Does that make sense?
Michael Binetti: Yes, it does, yes. In this year, does it -- in this year, is the flow-through still the same though on a point of upside? Or is it also different margin profile?
Ernie Herrman: That's 15 basis points holds true in FY '25 as well for every point of comp opportunity. And then as far as Marmaxx goes, a 13.7% pretax profit. Yes. I mean, obviously, we had a huge improvement during the year, up 100 basis points. And a lot of that has to do with, again, the lower freight rates. Even though freight is not back to where it was in FY '20, we're still 100 basis points off where we were. So we've had to -- through the merchandise margin has been able to offset some of that headwind. And again, we've talked about this in the past, we don't anticipate freight to come back all the way just because of the wage increases that we've seen in particularly domestic freight, whether it's people that work on the rail or in trucks. But we are looking for -- we continue to look for ways to be more efficient on how we move our freight, and that's really where we see the opportunity moving forward. But again, similar to when we talk about HomeGoods, with Marmaxx, it's -- again, it's about that strong execution, driving that top line and continuing to improve the merchandise margin through better buying.
Operator: And for our final question, we'll go to the line of Marni Shapiro from Retail Tracker.
Marni Shapiro: Congrats on a fantastic year. And a lot of my questions have been asked. I do want to dig into 1 smaller part of your business. Can we talk a little bit about your credit card business lately as I've been in your stores, I've had some associates asking me if I want a credit card. I'm curious what percentage of your business is done on your own store credit cards? Is there an opportunity there? Is there a data capture that has been helpful to you? Is there an opportunity or a loyalty? Or does that just not really matter because everyone's so addicted, they don't need to actually -- you don't need to do loyalty because it's a physical addiction? Could you just dig into this part of the business a little bit? It's not something you guys usually talk about.
Ernie Herrman: Yes. As far as our credit card goes, we don't get into the amount that goes through on our credit card. But I will say this that it's our penetration is not as high as some of the other retailers that offer incentives to use the card, our everyday value is our everyday value, and we don't want to train the customers into waiting on a discount day to use the credit card. So we're highly focused on making sure that the messaging for our -- the model itself is not affected. That being said, the -- it is the one way that customers can get. When they use the credit card, they get coupons back and that drives volume back into our stores. So we definitely see it as a positive for our driving customers back to our stores. And let's face it. It pleases with the customers when they get that coupon, they -- so -- but everybody's read the reports about whether it's delinquencies or the potential for having the late fees reduced that will impact us, but not as much as some of the other retailers that rely much more heavily on the credit card.
Marni Shapiro: Is there an opportunity to grow that penetration? Is that something you guys would look to do? Because I would think there's probably some level of loyalty and increased visitation with those customers.
Ernie Herrman: So, Marni, just -- we have been growing that penetration over a number of years or so. So as much as -- yes. As much as John pointed out, we're not at what other retailers doing their -- almost their credit card programs, but we are -- their amount higher than we were a handful of years ago. So, yes. Rightfully so. And those shoppers, right, John tend to also cross shop our different brands more and retain more. And so there's a lot of benefits in our sales, and as John said, when they do, it is the only way to get any type of a rebate from us, and it does create that extra visit. So yes, you're right. And we still -- by the way, that's why you get asked in the store. We're trying to still grow that percentage.
Ernie Herrman: All right. Well, I think that was our last question. Thank you all for joining us today. We look forward to updating you again on our first quarter earnings call in May. Thank you, everybody.
Operator: Ladies and gentlemen, that concludes your conference call for today. You may disconnect at this time, and thank you for participating.